Operator: Good morning, and welcome to the ADM Third Quarter 2020 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded.
 I would now like to introduce your host for today's call, Victoria de la Huerga, Vice President Investor Relations for ADM. Ms. de la Huerga, you may begin. 
Victoria Huerga: Thank you, Amy. Good morning, and welcome to ADM's third quarter earnings webcast. Starting tomorrow, a replay of today's webcast will be available at adm.com.
 For those following the presentation, please turn to Slide 2, the company's safe harbor statement, which says that some of our comments and materials constitute forward-looking statements that reflect management's current views and estimates of future economic circumstances, industry conditions, company performance and financial results. These statements and materials are based on many assumptions and factors that are subject to risks and uncertainties. ADM has provided additional information in its reports on file with the SEC concerning assumptions and factors that could cause actual results to differ materially from those in this presentation, and you should carefully review the assumptions and factors in our SEC report. To the extent permitted under applicable law, ADM assumes no obligation to update any forward-looking statements as a result of new information or future events.
 On today's webcast, our Chairman and Chief Executive Officer, Juan Luciano, will provide an overview of the quarter and important actions we are taking to meet our strategic goals. Our Chief Financial Officer, Ray Young, will review financial highlights and corporate results as well as the drivers of our performance and our outlook. Vince Macciocchi, Senior Vice President and President of our Nutrition segment, will give an update on our nutrition business and its future growth. Then Juan will make some final comments, after which they will take your questions.
 Please turn to Slide 3. I will now turn the call over to Juan. 
Juan Luciano: Thank you, Victoria. Last night, we reported third quarter adjusted earnings per share of $0.89, up from $0.77 in the prior year quarter. Adjusted segment operating profit was $849 million, up 11% year-over-year, and our trailing fourth quarter adjusted ROIC was 8.3%.
 Our strategic initiatives have continued to enable our teams around the world to demonstrate their expertise and skills. And I'm proud of how our colleagues are supporting customers and driving strong results. The team has done a great job handling the daily and sometimes hourly challenges that have come our way in 2020. That resiliency allows us to deliver outstanding results today while we simultaneously continue our strategic work to make our company better and advance our growth and transformation.
 Let me share with you some of our accomplishments. In our optimize pillar, our Ag Services and Oilseeds team continued its work to enhance returns, delivering another $100 million in invested capital reductions in the third quarter. Since 2017, Ag Services and Oilseeds has improved its capital position by exiting from no longer strategic assets, including 71 grain origination locations, 6 oilseed facilities, 14 Golden Peanut and Tree Nuts locations and 7 ocean-going vessels.
 We've also seen first-hand how our improvement initiatives have helped drive business continuity. In addition to the pandemic, in recent months, we've seen multiple hurricanes in the U.S. Gulf under the rage of storm that swept across the Midwest. Despite those events, thanks to our teams and our operational excellence, we have continued to serve our customers and fulfill our purpose without significant interruption.
 In our drive pillar, we are continuing to accelerate our 1ADM business transformation, expanding the deployment of our procurement, contract labor and sales and marketing modules, which are helping us drive efficiencies and growth and will provide us with a trove of data to support enhanced analytics and decision-making.
 Our Decatur corn complex ongoing strong performance from grind to gluten and germ meal to workplace safety continues to demonstrate the benefits of our centralized operations organization. Our supply chain center of excellence is delivering as well. Using our enhanced processes and tools as well as integrated planning between commercial, supply chain and operations, we've recently piloted changes at the nutrition facility that are on track to unlock a 20-plus percent increase in production capacity at that location and have already resulted in enhancements in customer service without additional capital spending. We'll be rolling these kinds of improvements out to other locations.
 In our expand pillar, we are continuing to harvest our investments. For example, year-to-date, our Algar Agro acquisition has tripled its year-over-year operating profit. In a very short time, Algar has grown to be an important component of the South American business. We've successfully expanded production of high-quality USP grade alcohol in Peoria and Clinton to meet high demand for hand sanitizer. We announced the construction of a new state-of-the-art production facility in Spain that will dramatically expand our ability to meet growing demand for probiotics and other consumer products to support health and wellness.
 We also signed a long-term agreement with Japanese startup Spiber Inc. This project taps into our innovative spirit and capabilities creating value from across our supply chain from the corn we buy to the dextrose we make, to the science and manufacturing technology we have invested in. And it meets a critical need in the marketplace for both consumer and industrial products that come from sustainable sources.
 Our transformation and growth and our confidence in the future will not be possible without readiness. By the end of the third quarter, our team identified and executed on readiness initiatives that unlocked almost $1.2 billion in run rate benefits. And now I'm pleased to announce that we are on track to achieve $1.3 billion by the end of the year.
 Readiness encompasses and supports our entire company. It drives the strategic imperatives that help us fulfill our purpose, such as sustainability. We are advancing our sustainability efforts on many fronts, such as our Strive 35 goals to improve our performance on greenhouse gases, energy, water and waste.
 Readiness creates growth enablers. For example, we're continuing to elevate our commercial excellence with innovative tools like our consumer insight programs and virtual customer technologies. And of course, readiness is one of the key elements powering the growth algorithm we laid out at the beginning of the year. Because of its success, along with tremendous progress in our harvest and improved initiatives, we now expect to meet or exceed the high end of our $500 million to $600 million goal for targeted improvement in 2020.
 So before I turn to Ray, I'd like to say that it's our pleasure to welcome Vince today on this call. In 2014, we started a new journey with the acquisition of WILD Flavors and the launch of a full-service nutrition business, offering customers a broad array of products and services. I could not be more proud of the growth we have seen since then.
 Nutrition has delivered its fifth consecutive quarter of 20-plus percent year-over-year OP growth. Revenue is up 5.7% on a currency-adjusted basis for the first 9 months of the year. And in the years since we acquired WILD, we are nearly tripled OP in the flavors business. As we've been getting more and more questions about that business and its growth potential, we decided that it was the perfect time to update and explain the business further.
 But before we get to Vince though, I'll turn it over to Ray to take us through our business performance. Ray? 
Ray Young: Thanks, Juan. And please turn to Slide #4. As Juan mentioned, adjusted EPS for the quarter was $0.89, up from the $0.77 in the prior year quarter. Excluding specified items, adjusted segment operating profit was $849 million, up 11%. And our trailing 4-quarter average adjusted ROIC was 8.3%, 255 basis points higher than our 2020 annual WACC. Our trailing 4-quarter adjusted EBITDA was about $3.7 billion.
 Our cash flows are strong as we generate about $2.3 billion of cash from operations before working capital for the first 9 months of the year. The effective tax rate for the third quarter was a benefit of approximately 13% compared to an expense of 19% in the prior year. Our Q3 tax rate was impacted by our debt retirement actions as well as the sale of our Wilmar shares and higher year-over-year Wilmar earnings and U.S. tax credits. Absent the effect of EPS adjusting items, our effective tax rate was approximately 11%. We expect our adjusted tax rate for Q4 to be similar to this adjusted Q3 effective tax rate.
 As we announced at various points during Q3, we've taken several actions over the last few months to both utilize and enhance our strong balance sheet. These actions were not about cash flow or liquidity as we had cash and available credit capacity at the end of the quarter of almost $10 billion. They were about creating balance sheet optionality for future transactions while maintaining a strong credit rating profile.
 We monetized a portion of our Wilmar investment through a block sale of Wilmar stock and issuance of bonds exchangeable for Wilmar shares at a future date. As we have indicated, we view our significant remaining Wilmar stake as strategic, and we do not have any intentions to sell additional shares.
 Leveraging our strong cash position, we also rebalanced our mix between long and short-term debt, economically retiring higher coupon debt through positive NPV transactions and reducing interest payments in the future.
 Combined, these actions allow us the flexibility to make strategic investments, further bolt-on acquisitions or buy back shares when it makes sense to do so, all while continuing to make progress in deleveraging our balance sheet and maintaining our single A credit ratings. These actions were also a significant driver of our tax rate.
 Return of capital for the first 9 months was $724 million, including around $115 million in opportunistic share repurchases, the vast majority of which were executed earlier this year. We finished the quarter with a net debt to total capital ratio of about 27%, down from the 30% a year ago.
 Capital spending for the first 9 months was about $560 million. We expect capital spending for the year to be around $800 million that we previously indicated and well below our depreciation and amortization rate of about $1 billion.
 Slide 5, please. Other business results were lower than the prior year quarter, driven by lower ADM investor services earnings and captive insurance underwriting losses, including a $17 million settlement impact for the high water claim with Ag Services and Oilseeds.
 In the corporate lines, unallocated corporate costs of $196 million were higher year-over-year, due primarily to variable performance-related incentive compensation accruals, which were low in the prior year. Corporate results this quarter also included $396 million related to the early debt retirement charges that I referred to earlier, which is an EPS adjustment item. Net interest expense for the quarter was similar to the prior year period.
 Looking forward, we expect unallocated corporate expenses to be in line with our initial $800 million guidance for calendar year and Q4 net interest expense to be slightly lower than Q3. We also expect a loss of about $50 million in other business in Q4 due to anticipated intercompany insurance claim settlements.
 Please turn to Slide 6. Ag Services and Oilseeds results were higher than the third quarter of 2019. In Ag Services, we saw extremely good execution around the globe. The North American team did well to capitalize on strong industry export margins and volumes, and the global trade team had another strong quarter as they continued their focus on serving customers. Ag Services also benefit from a $54 million settlement related to the 2019 U.S. high water insurance claims, which is partially offset by an expense in captive insurance.
 The crushing team also did a great job executing in a solid demand environment. Both Ag Services and Crushing saw expanding margins during the quarter resulting in around $155 million in total negative timing effects, which led to lower results. Those timing impacts are expected to reverse in the coming quarters. Refined Products and Other was significantly higher year-over-year, driven by improved biodiesel margins around the globe. Equity earnings from Wilmar were substantially higher versus the prior year period.
 Looking ahead, we expect to see strong North American exports in global crush margins in the fourth quarter, combined to contribute to a very strong Ag Services and Oilseeds performance, with results significantly higher than the third quarter of this year, though lower than Q4 of 2019, which included a $270 million benefit for 2 years of the retroactive biodiesel tax credit.
 Slide 7, please. Carbohydrate Solutions results were significantly higher year-over-year. The Starches and Sweeteners subsegment was substantially higher driven by strong risk management and improved net corn costs as well as a balanced ethanol industry supply and demand environment. Reduced food service demand affected sweetener and flower volumes but we're seeing good demand recovery for starches in North America. The Vantage corn processors team did a good job executing on the wet mill fuel ethanol distribution and capitalizing on higher year-over-year industry margins while managing the fixed costs from the 2 temporarily idle dry mills. Increased volumes and margins on USP grade industrial alcohol to support the hand sanitizer market also contributed to higher year-over-year profits.
 Looking ahead, we expect the fourth quarter for Carbohydrate Solutions to be close to Q3 of this year and substantially higher than the fourth quarter of 2019, driven by improved year-over-year fuel ethanol margins and higher industrial-grade sales. While Sweetener and Flower volumes will still be impacted by weaker food service demand, we expect the year-over-year percentage decline to be smaller than it was in Q3.
 On Slide 8, Nutrition delivered its fifth consecutive quarter of 20-plus percent year-over-year profit growth. Human nutrition results were substantially higher versus the prior year quarter, with strength across the entire pantry, including flavors, plant-based proteins and probiotics. Animal Nutrition was also higher year-over-year, driven by continued delivery of Neovia synergies, strengthened livestock and year-over-year improvement in amino acids, partially offset by softer aquaculture feed demand as well as negative foreign currency impacts. Looking ahead to the fourth quarter, we expect nutrition to deliver another quarter of 20-plus percent year-over-year OP growth with a typically seasonally weaker Q4 in Human Nutrition, offset by seasonally stronger Animal Nutrition.
 I'd now like to transition to Vince Macciocchi, President of our Nutrition business, for an update and overview of the business. Vince, congratulations to you and your team for not just a great quarter but for consistent delivery of strong growth. 
Vincent Macciocchi: Thank you, Ray. Slide 9, please. I'm proud of the team who have delivered in so many ways. When I reflect upon the growth we've made and the journey we are still taking, I keep coming back to our purpose, to unlock the power of nature, to enrich the quality of life. I think it's remarkable how these few words sum up not just what we do but why our work is so important.
 The global population is growing, and consumer behavior is shifting in ways we couldn't have predicted only 10 or 15 years ago. The scale of the change and the opportunity for ADM is enormous. Global sales of specialty ingredients across both human and animal nutrition are as much as $85 billion and growing at a rate of 5% to 7% per year. These specialty ingredients, which represent the majority of the nutrition portfolio aside from fee, go into the full array of consumer nutrition products for humans and animals, many of which are projected to grow significantly in the coming years.
 For example, the global market for functional beverages could be as large as $190 billion in 2024. The global dietary supplement market could be worth more than $77 billion in that same time frame. Global retail sales of alternative proteins are already a $25 billion market today, with a projected growth rate of 14% per year. Global retail sales of pet food are projected to grow at 4% per year, reaching $120 billion by 2024.
 These aren't just numbers. They're indicators of significant long-term trends in how people choose food, drink and other products, driven by a global population that cares deeply about health and sustainability. And based upon the portfolio, footprint, capabilities and talent we've built, no other company is positioned to meet these needs and lead in these industries like ADM.
 Please turn to Slide 10. It's been 6 years since we started on this journey. In that time, we built or expanded more than 16 facilities, from our pea protein complex in the U.S. through our network of premix plants in China. We've enhanced our science and technology capabilities, invested in market research and consumer insights and built new interactive ways to engage with customers from our more than 50 global customer innovation centers to daily virtual innovation and tasting sessions. We've made platform acquisitions, and we've added bolt-ons. All in all, we have invested just over $6 billion to build our global leadership position in nutrition.
 These investments are delivering results. Since 2014, we've increased our annual revenue by $3 billion. And by the end of this year, we'll have grown operating profits by more than $300 million over those 6 years, more than double.
 Slide 11, please. Our Human Nutrition business can offer customers ingredients, flavor systems or turnkey product development solutions, supporting them every step of the way to take their ideas from concept to prototype to market in record time. In Animal Nutrition, only 1.5 years after we completed our Neovia acquisition, we can look back on a successful integration in which we exceeded our synergy goals and built a global business that offers a full portfolio of on-trend items, from pet treats to enzymes to ingredients for aquaculture to meet evolving customer needs.
 In our Health and Wellness business, which is part of our Human Nutrition subsegment, our scientists are expanding the universe of pro-, pre- and postbiotics and other functional products to meet growing demand, from stand-alone supplements to ingredients that help enhance our array of human and animal solutions.
 Taken together, our extremely broad portfolio of ingredients and solutions can add value for customers across both human and animal nutrition. For instance, taste and color are just as important for animal nutrition customers today, as they are for food and beverage customers. Functional ingredients matter in both human and animal nutrition and so on across our entire pantry.
 Then we add the rest of ADM's capabilities. In plant-based protein, for example, we have the unique advantage of ADM's broad and integrated value chain, from sourcing and transporting the soybeans and peas to transforming them into high-protein ingredients at our own facilities, to adding the colors, flavors, oils and other key elements to create just the right taste, appearance, juiciness and sizzle for delicious finished plant-based products.
 Please turn to Slide 12. We're proud to have come this far in 6 short years, but our eye is on the future. We are confident in continuing our growth story. It starts with the global category trends I outlined earlier. It continues with our extensive and ongoing research into consumer behavior and needs.
 Earlier this week, we released our latest view of the top consumer trends of 2021 based upon research that includes our proprietary outside voice consumer insights program. Our findings show that the events of the past year are accelerating and deepening fundamental market shifts, including consumers taking a more proactive approach to nourishing body and mind, the microbiome as the gateway to wellness, continued growing demand for plant-based foods, sustainability as a key driver of purchasing decisions and transparency as a building block of consumer trust.
 The last piece of the equation is how our team brings it all together for our customers, combining unmatched customer support and service with our vast value chain to deliver ingredients, systems and solution that align perfectly with market trends and needs. These are the reasons we expect to continue to lead the industry outpacing the market and operating profit growth, and we remain confident in reaching $1 billion in OP in the medium-term future.
 With that, I'll turn it back to Juan. 
Juan Luciano: Thank you, Vince. And congratulations to you and the entire ADM team for another outstanding quarter.
 Slide 13, please. Across the enterprise, we are continuing to advance our work to enrich the quality of life and meet key needs for consumers around the globe. At the time of heightened concerns around food security, ADM's vast global value chain is helping ensure that countries and families can continue to put nutritious, delicious foods on the table. As consumers focus more and more on proactive approaches to health, we're expanding the frontier in groundbreaking functional ingredients and supplements for people with conditions like migraine and atopic dermatitis, and we're paving the way to a new world of precision nutrition personalized for every individual. And as sustainability becomes a key driver of consumer decisions and business success, we're playing a leading role in the transition to a low-carbon economy for our industry.
 We are committed to our purpose, and our team is continuing to deliver for our customers, our shareholders and all could depend on us. And that is why we are confident in a strong finish to 2020 and a positive momentum continuing through 2021.
 With that, Amy, please open the line for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Eric Larson with Seaport Global. 
Eric Larson: Congratulations on a really good quarter. My first question is really for Vince. Vince, thank you for that review of your operation. And I'm going back to Slide 11 and going to your complete pantry of ingredients and solutions from nature. So we've seen some pretty massive consolidation in this industry now the last several years with IFF making some very large acquisitions at extraordinary multiples.
 Can you give us just a little flavor for, if you look at the various categories where you've got your pantry, what your shares are in those areas, roughly? I know it's highly fragmented. Where additional opportunity might be available for you -- outside of your normal organic growth, I mean would there be some opportunities to strengthen your portfolio across those various sectors? And where do you think your biggest strengths are? And maybe where you could use some strengthening in those areas? 
Vincent Macciocchi: Thank you, Eric. I think if you think about our business -- and maybe I'll start kind of where you finished in terms of some of our greatest strengths. I think our greater strengths are obviously the breadth and depth of the pantry coupled with our technical capabilities and providing solutions backed by science. I think you also marry that with the global consumer trends when you think about the focus on the microbiome, focus on plant-based foods, sustainability and good for you, and you think about clean label moving to clear label.
 Our portfolio is really well positioned when you think about our flavors business and the focus on natural and our continued growth in the mature market and as we expand our footprint into the emerging markets.
 Specialty ingredients, obviously, we have a dominant share as a key protein -- plant-based protein provider. And we're providing soy, pea and wheat from a plant-based protein perspective and really capitalizing on that global consumer trend.
 If you look at our Health and Wellness business, we have a fantastic portfolio, really focused on probiotics and postbiotics as well as fiber as well as vitamins as well as specialty oil, so a really complete portfolio across Health and Wellness.
 And then obviously in Animal Nutrition, we completed the acquisition of Neovia in 2019. Obviously, we've over-delivered against the synergy targets, but it's a global, robust business. It's really focused on, obviously, complete feed additives and ingredients, aquaculture, pet. So really moving that portfolio to realize synergies, grow organically and capitalize on our global footprint.
 So where is our opportunity? There's certainly opportunity to further expand in the flavors business into emerging markets. We're always looking at technology in our portfolio and geography, in the plant-based business and specialty ingredients. It's really making sure we're providing outside of the Americas and looking to enhance our footprint there.
 In Health and Wellness, it's really capitalizing on the microbiome and expanding our capability. Juan mentioned in his remarks that we're expanding our facility in Valencia, Spain. That will give us significant capacity increase to capitalize on our growing demand.
 And then on animal, I think our story is really one where we finish the integration, we grow organically, we margin up that portfolio, and we continue to combine all pieces of our portfolio and provide solutions backed by science. 
Eric Larson: Okay. Great. And my follow-up question is really kind of -- is for Juan, and this is more of a general question. Juan, I think most of the people on this call are aware of the nice recovery in the global ag markets, et cetera. I think the question that we all have, and we've seen various fits and starts and stops and stall from the last several years. Can you address how you look at the sustainability of the recovery in these -- basically in the ag markets globally, aside from just the current strength that we're seeing? Clearly, it's sustainable in the early part of next year. But beyond that, do you -- can you give us your perspective on sustainability for the next let's say, 1 or 2 years or even more? 
Juan Luciano: Yes, Eric, thank you. I think -- listen, I think I'm very proud, first of all, of course, of the way the team has been executed. And I think we have a track record of consistent execution on that so that -- from that perspective. Second, I think the important thing to reflect upon is that we have built the business over these few years, aligned to secular trends on food security, on health and wellness and on sustainability. And we see those trends being with us for the duration that I can see going forward.
 So when we look at our planning horizon, we feel very good about that, about achieving our 10% ROIC, and we're achieving our goals in earnings and reduction on invested capital. When we look at the -- even the issues that we're seeing today with the pandemic, the pandemic has basically increased or emphasized some of the trends that we have been already developing over time with the consumers. And you see governments more concerned about food security now and the ability to keep supplying food for the world. And I think that we are a key element in that. And our footprint and our ability to connect the areas of surplus with areas of deficit in the world is valued and is recognized and I think that, that will continue going forward.
 I think that everything that we're doing in terms of positioning our portfolio for healthier trends. We see the reaction on that. We see the reaction in plant-based proteins. We see the reaction in probiotics, but we see the reaction also on the snacking in functional foods. And all that is very strong in the ADM portfolio. And we continue to see the pool from biomaterials, from materials based on plant that actually replaces other fossil fuel type of build materials that have more push. So we see it in the scale and the reach that we have for food security. We see it in the specialization that we see in nutrition, and we see it in the demand for sustainability.
 So as far as we can tell, again, we are finishing the year very strong with the Q4 that we are very excited about, and we are entering Q1 with a strong momentum. So we certainly see 2021 with a lot of optimism. I think conditions are there for us to have good times, and we don't see at this point in time what is the thing that will change that. Demand is strong. I think if anything, China has come rolling back from the pandemic. Their recovery has surprised everybody. At the same time that the economy recovers, they are recovering from ASF, which they are rebuilding their herds. At the time when, candidly, Brazil has sold -- because we were part of that, has sold all the pipeline of beans in which Argentina doesn't have an incentive to sell. And for the very first time in a long time, the world needs the U.S. supply for both soybeans and corn.
 So we are looking at it from several angles, to be honest, and we see it fine. We see also, even in the crush margins that is a crush supported by both legs now. Traditionally, it has been more on the mill side, but we have a very big oil story developing around the world and it has all these conditions. Whether it's biodiesel or renewable green diesel or just the recovery of food service, we have been pulling oil demand.
 So again, at this point in time, we see the future with a lot of optimism and a lot of confidence in our team's ability to execute on that. 
Operator: Your next question comes from the line of Ben Kallo with Baird. 
Ben Kallo: So just you touched on ASF, but could you talk a little bit more about that and when we expect that to be a tailwind? Then my second question is just on the Wilmar and the liquidity from that. Where should we expect, I think, the investment to go and maybe a rank order there? And then third, we get -- we're hearing more and more all over the place about renewable diesel. Can you talk to us about your exposure to that trend as a tailwind? 
Juan Luciano: Yes. Thank you, Ben. So the first one, ASF. As we said, I think ASF, we've been following this story for several quarters. And I think that overall, it has developed as we predicted. So initially, with the big gap in protein in China that was supplemented by imports of proteins, and we saw that in the strength of crush margins. Now China has been able to control that. Now China is rebuilding their herd. Remember that herd was -- about half of the herd was decimated. So there is a big effort to rebuild that. As they rebuild the herd, they are going into more professional animal production. That has increased the rations. So -- that has increased soy meal, but that has increased corn. That's why you see so much pull from China from imported corn. At the same time, we have seen the poultry industry coming up in China to supplement a little bit the lack of pork protein that they have in China.
 So we've seen all that. We think that there's still probably a couple of years ahead of us for China to recover the herd plenty. And of course, you heard their statement about trying to go for self-sufficiency. So I think they're going to build that. So we're going to see continued strength in crush margins. And we feel that, that's driving demand.
 Again, as I said before, the professionalization of the animal husbandry has brought more soybean meal and corn into the ration, and we will continue to see better feeding and better nutrition in that sense. So again, nothing surprising maybe to what we expected.
 And remember that in the previous quarter, we talked about our positive view of crush margins over the second half of the year. And that's the way we predicted, that's the way we played, and that's the way it is working out. So -- and China is behind a lot of that.
 Your second question was on Wilmar and our allocation of capital. Listen, Wilmar, we are very proud of the Wilmar ownership and relationship that we have had for many years. It's a very strategic partner for us, which gave us last night, another gift with great results. The team continues to execute. And again, it's a little bit related to what I'm saying. China has come in rolling back from the pandemic and the recovery and Wilmar is a big part of that.
 We made a reallocation of capital decision. Again, we're going to hold to our 20% share there. We are very comfortable and committed to that for the long term. This was just a matter of we wanted to strengthen our balance sheet after the acquisitions, you heard Vince, between WILD Flavors and Neovia. We need to get back to that. I mean we are comfortable into that. And we want to get back to support Vince with the bolt-ons that he needs and some organic investments. We are increasing the capacity as we announced in Biopolis by fivefold, where things are growing there. And I'm sure Vince has a long list of bolt-ons that he wants to execute, another organic growth as we grow geographically some of the successes that we have in North America and Europe.
 So that basically is nothing behind that other than that. And we continue to support R&D. You talked about a lot -- you heard Vince talking a lot about science-based functional products and science-based nutrition. And that's important, and that takes money. So it's money that we gladly invest in that because we are seeing the returns on that. Not everybody has business in their segment that grow 5 consecutive quarters or more than 20% per quarter in terms of operating profit. So we are very proud with that.
 And your third question was about renewable green diesel? 
Ben Kallo: Yes. 
Juan Luciano: Yes. And listen, we participate that as a supplier of feedstock. You see the tightening that this has generated because, of course, there has been stable volumes and very healthy margins of biodiesel that we've been supplying. And also, we've seen the tightness that, that generated as food service has recovered in the oil part of the consumption.
 So I think that we follow that with interest. It's another leg that adds to the strength of crush margins. So in the short term, it's a very positive tailwind. We have to see how that industry evolves. There are many factors in this industry. There are many announcements that they are all positive. That will put some pressure in feedstocks, of course. And we're going to see how that announced, how many states or countries adopt these, how many of these investments are actually come through into real plans and then how many other feedstocks are allowed here to come.
 Today, the environment of feedstock is a little bit of a rarefied environment because we have less of restaurants creating cooked oil and then we have a little bit of less production of -- in the ethanol side. So -- but we have potential to bring canola into these that we are -- it's a good carbon index also.
 So there are a lot of dynamics. But I think short term, we are participating just as a supplier of soybean oil and that we are profiting from that in the crush margins that we are seeing. 
Operator: Your next question comes from the line of Ben Theurer with Barclays Bank. 
Benjamin Theurer: Yes. Congrats on the results. I tried to get you back on schedule, ask only one question, and that one is for Vince. So when you nicely showed how you've basically increased the nutrition business since the bigger acquisition some 6 years ago, and if we look at it on a trailing basis, we're basically at about $550 million in operating profit, call it, somewhere halfway through of where you want to get. But we've clearly seen a significant acceleration in the last 2, 3 years.
 So how should we think about your path to the $1 billion going forward? Is this going to be a 6-year time to get there? Is it going to be accelerated just because of the flexibility? And as Juan just said, he's going to give you a little bit more capital and opportunities as you have a long list for bolt-on M&A. So how should we think about the growth performance M&A versus organic? And when do you think that medium-term target can be achieved? 
Juan Luciano: Yes. Maybe if I start, and I'll let Vince complete that with some more granularity. But when we look at our strategic plan, and we plan in 5-year increments, so the last one we did in 2019, so 2019 to 2024, we see our $1 billion OP that Vince described being achieved in that planning cycle. So let's say, by 2024, if you want to say it that way.
 In order to get there from here, you can see the nutrition approximately needs to grow around 15% per year compounded to get to that number. So that number is excluded any major M&A. That number is in the current strategy, which is organic growth and bolt on. So about the ratio that you're seeing right now going.
 So maybe then I pass it to Vince to provide more granularity on where that growth comes from. 
Vincent Macciocchi: Thank you, Juan, and thank you, Ben. I think it's important if you just take a pause and see where we're at. If you look on a year-to-date basis through 3 quarters, we're at $448 million, whereas we did $419 million all of last year. So to Juan's point, it's a good growth story and a good growth trajectory from an organic basis. And what we've done is we've really taken the approach of let's grow organically. Let's expand our customer base. We've made significant investments in our key account management program and our approach to the customers and really expanding that base on a worldwide basis.
 As I mentioned in my remarks that we've invested over $6 billion in this business. So yes, we've done platform deals that we've integrated and then grown organically, and we've done a series of bolt-ons. But additionally, we've invested in our own facilities. We built a greenfield pea production facility in Enderlin. We built a soy protein complex in Campo Grande in Brazil. We've done acquisitions in the citrus space, the vanilla space, the food-based space, the bioactive space. And so obviously, we're harvesting those investments right now and continuing to take those businesses and grow those businesses and add them to our portfolio of capabilities. So I think that's what gives us some optimism. And we look at our win rate in the marketplace as well. And we look at our pipeline of opportunities.
 Again, when you take these capabilities and the size of the pantry which we depicted earlier, and you marry those with the technical capabilities we have on a worldwide basis from a science and technology perspective and a creation, design and development perspective, that translates to a very high win rate against customer opportunities that actually launched in the marketplace.
 Therefore, we have an organic growth road map as Juan identified within the time horizon of the strategic plan that will get us to that $1 billion aspiration. And again, we'll continue to search, as Juan indicated earlier, for smart bolt-ons and perhaps platform deals if and when they make sense. 
Juan Luciano: And then we're going to keep pushing Vince to get there faster. 
Operator: Our next question comes from the line of Robert Moskow with Crédit Suisse. 
Robert Moskow: Juan, the environment looks great. I totally agree. I'm trying to think of things that might derail that situation. One investor asked me about Argentina and the possibility of devaluation. And would that be a catalyst for farmers selling, crushers crushing and leading to a glut in the market that might cause crush margins to fall? Can you comment on that possibility? 
Juan Luciano: Yes. Well, so I'm not going to be on record predicting a devaluation in Argentina, Rob, since I would like to go back one day, but let's put it this way. The world is tight today. There is a big demand, as I said, from China. And even if -- let's run your scenario in which Argentina devalue and there is an incentive for the farmer to sell. Then may be only like 5 million tons that they're going to throw into the market. To be honest, the market needs that, and the market will absorb that very quickly and move on.
 So I don't see that as a big source of derailment. I don't know what the source of derailment could be. But I don't worry that much about that. I think, again, the market is tight enough today. Brazil's crop is a couple of weeks late. So there is a La Niña effect that we still need to see what's going to do to yields. And although I think that Brazil, we have a big crop, I don't think we're going to have 140 million tons crop given the start and the conditions that there are.
 So I think that at this point in time, I worry more about where the beans and where the mill is going to come from later on than actually if Argentina will flood the market. We don't see that as an opportunity. If you hear -- I mean if you -- unfortunately, I don't have the opportunity to be back in Brazil or Argentina at this stage. But as I talked to Brazil, Brazil is an environment of -- in an environment of food inflation and imports right now, where they're bringing imports from Paraguay, from Uruguay for beans.
 So I think you see the need, and we see it with a customer base that is very uncovered, to be honest. So these are people that are buying hand to mouth for strong demand. And it's our role to supply that and to cover that. But as I said, we worry a little bit more about making sure that the flow from the farmers continue so we have the material to continue to execute and to feed the world. 
Operator: Your next question comes from the line of Ben Bienvenu with Stephens. 
Pooran Sharma: This is Pooran filling in for Ben. I just wanted to ask you how you're thinking about your dry mills. Does it seem like it makes more sense to just keep them offline until post-COVID? What do you think is best for that business? And can you talk about any growth you have or could see in USP grade alcohol? 
Ray Young: Yes, it's Ray here. Well, first of all, we've done a very good job managing the stranded costs of our 2 temporarily idle dry mills. And I think also with some additional idlings that have occurred in the industry. I think the industry has done a very good job in terms of balancing supply and demand in the ethanol industry. And that's part of the reason why when you look at inventories right now, EIA count on stocks are below 20 million barrels. And that's contributed towards, frankly, a reasonable ethanol margin environment that we've seen. And that's contributed, frankly speaking towards good results that we've seen both in our Starches and Sweeteners segment, which has the wet mills, and then also for VCP, which has the industrial-grade alcohol of our Peoria facility.
 So we believe that as we kind of enter the winter season, which you know seasonally driving miles come down during the winter, and so therefore, from an ADM perspective, we believe we're probably going to keep these dry mills temporarily idled as we go through the low season of gasoline demand and hence ethanol demand. That's the responsible thing to do.
 Then -- but when we look forward into the new year, as I indicated in the last call, we're going to look at the data, right? And so we're going to look at the data with respect to how the U.S. economy is recovering. We're going to look at the data in terms of how driving miles are going to seasonally recover as well. We're going to look at the data in terms of the industry utilization rates for ethanol because some of these ethanol mills that we've seen idled, they're going to be permanently idled. Some of them -- a lot of them have indicated that they're going to remain permanently idled as opposed to temporarily idled. And then importantly, we're going to be looking on very -- the Tenth Circuit Court ruling on special refinery exemptions and whether the Supreme Court is going to hear the case or not.
 So there's a lot of variables that you're going to be looking at. In addition, you may have heard that China is also starting to look at potential imports of ethanol from United States into the country. I think there's been 1 boat that has gone to China. But they are making a lot of inquiries about U.S. ethanol. And so all of these variables are going to be very important factors in terms of our assessment in terms of when we actually restart these dry mills. Based upon any or all these variables becoming favorable, we could see that with the -- let's say, the spring season when normally the industry starts building up inventories of ethanol for the summer driving season, we could see that as we get into spring, that we may restart the dry mills again.
 But again, this will be a data-driven decision. We recognize the importance that we play in order to make sure we have good supply/demand balances in our industry. But again, looking at the variables, as we see it right now, we could -- we clearly see the path towards some sort of restart in the first half of next year. 
Pooran Sharma: Got it. And then also, could you just maybe provide a little bit more color on the prospects for USP grade alcohol? 
Ray Young: It's been a good news story, right? I mean we started the year with 1 plant, our Peoria plant, 85 million gallons a year. Demand shot through the roof for industrial-grade alcohol. And so we actually combination ran the plant hard plus we've expanded the capacity of that plant. So we'll be up to 100 million gallons very shortly. And then secondly, we also made some investments into another facility, Clinton, and we're going to actually expand production of industrial-grade alcohol in that facility as well. So by the end of this year, our run rate in terms of industrial ethanol production would have increased by over 50%.
 In addition, the quality of the ethanol that we produce is very, very high. I mean you've probably read many stories about hand sanitizers in whereby the quality of the alcohol within the hand sanitizers is poor. And frankly, a lot of them have been pulled out of the market. The customers are looking for a high-quality industrial alcohol. And that's what ADM is able to deliver. That's the reason why we've expanded capacity in order to meet the demands of these customers. 
Operator: Your next question comes from the line of Ken Zaslow with Bank of Montreal. 
Kenneth Zaslow: As you see the oil seed markets developing, is there any thoughts that there may be some additional capacity being built anywhere that would be alarming? Or any thought that you would think that would come about? And what are your plans? Is it more of a debottlenecking procedures? Or would you think that there would be some thought that you might find some capacity expansion opportunities? 
Juan Luciano: Yes, Ken. At this point in time, again, it's a very positive environment from a margin and demand perspective. So I think that we're all looking through readiness and everything, how to expand capacity with as little capital as possible, of course, to debottleneck every facility. We are very prudent in thinking about new staff that cannot be integrated. I think we're very proud of the integration of our facilities that help a lot the integration with grain, the integration with refineries.
 So at this point in time, going to the earlier part of your question, we don't see any major announcement that worries us. I think that in reality, the industry needs some of that extra capacity that we heard about it. And I think that we continue to have our plan. As I said, we put together our 5-year plan from '19 to '24. That includes some expansions to maintain our position there. But this is a very disciplined market in which we follow demand and we follow what our customers and the final consumers are doing. So we are looking at that, and we have flexibility.
 I don't think this is an industry that goes like other industries that maybe build a lot of capacity, and then it takes many years for them to build, to grow into that capacity. This is an industry that tend to grow in manageable chunks. And I think that we've been a player into that, and we know how to do it. So I don't worry that much about that, not at this point in time, Ken. 
Kenneth Zaslow: I know the question was asked, but I'm going to ask you a little differently because not that I didn't like the answer, I'm just trying to figure out a little bit more quantification. How can you frame the opportunity that's associated with renewable diesel to your margin structure or to your earnings potential? How incremental is this? Is this a noticeable difference? Is this a -- hey, it's kind of like a cherry on an ice cream Sunday? Or is it kind of the ice cream? How do you think about it? 
Juan Luciano: So I think -- listen, I think the numbers if -- let's say that even if you take 70% of the announced capacity happened to be through, it's a significant number. It's not -- so we're going to be a player there. Of course, we're going to be a player in -- for a while there. We have very good facilities in biodiesel that are integrated with our refineries, with our crushing plants. So in that sense, they are more secure than others in the fight for soybean oil, if you will.
 But I think as we said it -- as I said it at the onset, I think that we need to see how this develop because this is the fight for decarbonization of the economy, if you will. And there are many things coming into play for the long-term perspective, whether it's electric vehicles and other solutions. Remember, we were not discussing renewable green diesel a year ago. And there may be another solution coming back, another thing coming back later. So I think that we are all being prudent, not because we see any long-term bad, but also because we realize there are many people and many technologies looking at how to decarbonize the economy and transportation and all that.
 So I think it's a positive. I think we're going to participate in that. I think that if everything that is announced or, as I said, 70% comes, I think it's going to be significant and meaningful. But I think at least for the next few years down the road, this is going to bring tightness to the oil market, which is going to increase associate margins, and we have seen that happening and will increase -- and will keep crush margins robust as they are today.
 So -- but reading much further than that, forecasting in this energy area is prone to mislead people because technology is coming very rapidly into the area. And technology tends to have this breakthrough impact, if you will, as renewable green diesel is having it right now, but we need to see the duration of all that. 
Operator: Your next question comes from the line of Vincent Andrews with Morgan Stanley. 
Steven Haynes: This is actually Steve Haynes on for Vincent. The operating environment clearly firmed up nicely for you guys. I wanted to just come back to kind of some of the self-help things you have going on. And if you got kind of $500 million to $600 million of controllable benefit this year, do you have any kind of target as we look into 2021, so what a like-for-like number could look like? 
Juan Luciano: Yes. I would say we probably will provide more granularity on -- we are going through our own planning season. So we're going to provide more granularity at the Q4 call on 2021 targets. But I think that if you've been following us, you see that there is a certain cadence to what we bring to the table. And these programs are not a one-off, when we are engaging things like readiness, which is a key component of that or harvesting or improve. We're working on our portfolio. Hopefully, we're going to have less improved going forward and more harvesting.
 But -- so the mix of that is going to change somehow. Some things don't repeat themselves. For example, thankfully, like the storms that we have in 2019 didn't reproduce in the same damage in 2020. So some of those things may come up and down. But there are some solid trends. You can see in readiness, those programs are very robust. So we're going to build the algorithm on the things that we can control. And we're probably going to come again with more granularity in the next earnings call.
 But as I said, I think you -- I think investors have gotten used to our cadence on that. And we tend to have a very robust portfolio of things that we can control. And so it's not going to be a shocking array of possibilities. You're going to see possibilities around harvesting, around some improvements and around readiness. And the numbers may fluctuate here and there, but that's the gist of it. 
Operator: Your next question comes from the line of Adam Samuelson with Goldman Sachs. 
Adam Samuelson: So maybe the first question is just coming back to the balance sheet and capital deployment. And Ray, I think you were -- we have the Wilmar proceeds. You did the kind of debt, kind of optimization actions or -- last quarter. Can you help us think about kind of the -- your very heavy moving into that commentary on balance sheet optionality. Can you talk about kind of what you think the dry powder is from an M&A perspective right now and how that pipeline would look? And what we should be thinking about if there's any immaterial M&A that would kind of just help us frame kind of how -- what -- how big are we thinking about? 
Ray Young: Yes. Just to again remind people, when we did the Wilmar equity block transaction, secondary offering, we were creating effectively balance sheet flexibility by improving the capital base of our company. So it was not a liquidity move. We had ample liquidity. It's basically helping to further deleverage the balance sheet. And so -- I mean, as we indicated, our intent -- after funding the Neovia acquisition earlier this year, our intent was to basically get our balance sheet back into the low 2s, when you think about metrics, get down to the low 2s by the end of the year. And so these actions are designed to help us get to the low 2s. And I feel good that with the actions that we've done, we're going to get there towards the low 2s.
 And so that creates balance sheet flexibility on our part. And as we indicated, that gives us the flexibility to pursue bolt-on acquisitions. And as you know, Vince always has a list of opportunities that he's looking at. And our responsibility is to make sure that we have the balance sheet in order to kind of support it when these opportunities materialize. And then also share repurchases, I mean, to the extent that the equity markets make a correction in the future, due to whatever reasons, macroeconomic issues. And we have the balance sheet also to pursue opportunistic share repurchases when we think that there is a significant value gap relative to our intrinsic value.
 So we're doing this. We've done that. We pursued some debt repurchases as well, debt tenders. And just to remind you, earlier this year, we issued some long bonds when the credit markets were extremely volatile. I mean, at that juncture, we did not know what was going to happen in the short-term credit markets. We didn't know how the central banks were going to behave. Well, what's turned out is that central banks have come in to support the markets. And so with the balance sheet that we had, the liquidity position that we had, we decided to opportunistically go on tender bonds and actually execute some that make-whole on some of the bonds outstanding. And so we actually -- we purchased about $1.2 billion worth of debt in the quarter with positive NPV transactions. And so with the credit profile that we have, our debt cost that we had, this was a tremendous transaction from an NPV perspective, delivering good value for our shareholders here, right?
 So I think we've got the balance sheet into the shape that we would like. We got $10 billion in liquidity. So we can weather any type of additional global slowdown that maybe a second wave of COVID-19 could bring to this company. We have no issues in terms of being able to weather any of the risks associated with the second wave and the impacts there. And we have the dry powder right now for Vince to go pursue the bolt-ons that we've talked about in the past. 
Operator: Your final question comes from the line of Tom Simonitsch with JPMorgan. 
Thomas Simonitsch: So maybe one last question on the $1 billion nutrition operating profit, and apologies if I missed this, but what range of revenues do you need to meet that target? And in the near term, when do you expect the top line in nutrition to return to growth? 
Vincent Macciocchi: Thanks, Tom. Well, the top line in nutrition is growing. When you look across the broader nutrition business on a year-to-date basis, where we've grown at approximately 6% FX adjusted. So we have a very aggressive growth plan from a revenue perspective. And obviously, there are some puts and takes. There's been some headwinds related to COVID affecting some of our sectors as well as some FX issues. But at the same token, we've realized significant revenue growth in certain areas of our portfolio. When you look at the Flavors business, primarily in North America and Asia Pacific, we look at our Specialty Ingredients business, primarily in North America, South America, in the growth of plant-based meat alternatives. We look in Health & Wellness. Obviously, very important growth across that space, really in terms of the bioactives, our specialty oils, our fiber portfolio. So with our fixation on customers, we're growing top line revenues. It's one of the key tenets of our organic growth opportunities in our plan. And then look at animal nutrition. So obviously, there's some things that have affected aquaculture and some other FX things there related to the Brazilian real and the Mexican peso. But at the same token on a year-to-date basis, we're up 7.5% FX adjusted. So we do have a very aggressive plan to drive the revenue. We're focused on revenue.
 I mentioned pipeline earlier. That's a key barometer to how we measure our opportunity for future success and to drive revenue growth. So it's a heavy emphasis. And obviously, at the same time, while we're growing revenue and we're growing our businesses across the portfolio, if you look at our margin performance, it's increased as well. So we're focused on price, we're focused on profitability, and we're focusing on margining up all of our businesses across the portfolio. 
Thomas Simonitsch: And do you have a revenue level in mind getting to that $1 billion operating profit? 
Vincent Macciocchi: Yes. I think there's a couple of things. I mean when I spoke at the outset, when you talk about growth in the overall market of 5% to 7% per year, we certainly need to be in that range or outpacing that range. And obviously, we continue to marry with our operating profit performance. As Juan outlined, we're approximately -- to continue on our current trajectory, 15% per year gets us to that within the time horizon of this plan. 
Operator: This concludes our question-and-answer session. I will now turn the call back over to Victoria de la Huerga for closing remarks. 
Victoria Huerga: Thank you for joining us today. Slide 14 notes upcoming investor events in which we will be participating. As always, please feel free to follow up with me if you have any other questions.
 Have a good day, and thanks for your time and interest in ADM. 
Operator: Ladies and gentlemen, this concludes today's conference call. On behalf of ADM, thank you for your participation. You may now disconnect.